Operator: Good morning, everyone, and thank you for standing by. Welcome to Pet Valu's Fourth Quarter 2025 Earnings Conference Call. My name is Harry, and I'll be coordinating today's call. [Operator Instructions] I would now like to turn the call over to James Allison, Investor Relations at Pet Valu. Please go ahead, Mr. Allison.
James Allison: Good morning, and thank you for joining Pet Valu's call to discuss our fourth quarter 2025 results, which were released earlier this morning and can be found on our website at investors.petvalu.com. With me on the call is Greg Ramier, Chief Executive Officer; and Linda Drysdale, Chief Financial Officer. Before we begin, I would like to remind you that management may make forward-looking statements, which includes guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties, which could cause actual results to differ materially from those expressed today. For a broader description of risks related to the business, please see our Q4 2025 MD&A, 2025 annual information form and other filings available on SEDAR+. Today's remarks will also be accompanied by an earnings presentation, which can be viewed through our live webcast and is also available on our website. Now I would like to turn the call over to Greg.
Greg Ramier: Thank you, James, and good morning, everyone. I'll start by reviewing some of our key highlights from Q4 and 2025 before handing it over to Linda to discuss our financials and outlook for 2026. 2025 marked another dynamic year in Canadian Pet as macroeconomic uncertainties drove an environment, where devoted pet lovers required higher quality and lean more heavily into value. I'm proud of the decisive actions we took to meet this immediate need, providing the highest quality products and everyday value, especially through our proprietary brands. We also continue to invest in our future by strengthening our omnichannel offering through new stores and online delivery platform options, differentiating on quality with exciting new product introductions, enhancing our expertise with investments in culinary, all the while supporting the success and profitability of our franchisees. This comprehensive strategy is helping us grow share by staying focused on winning the monthly shop while we reinvest in our assets so that we and our franchisees can continue to capture profitable growth over the long term. Together with diligent cost control, we were able to adapt well to 2025 dynamics and deliver full year revenue and adjusted EBITDA within our original guidance ranges, while generating compelling free cash flow to fund record returns to shareholders of over $120 million in buybacks and dividends. Looking specifically at the fourth quarter, we saw heightened levels of consumer value-seeking behavior and specific competitor responses chasing value-driven sales. This, alongside with our everyday value and promotional plan weighed on our same-store sales growth. While the end result didn't achieve the bar we had set for ourselves, what this figure doesn't show are the encouraging underlying factors that tell us we've got the right strategy to win in this environment. First, we once again grew share with more devoted pet lovers choosing Pet Valu, especially for their monthly shops. Second, we saw momentum in our units per transaction or UPT reaching a multiyear high, a direct result of our focus on compelling targeted promotions and in-store execution. Third, our consumable sales were once again led by our proprietary brands, driving deeper customer loyalty. And fourth, our supply chain investments continue to yield savings, which together with good cost control, helped partially offset margin pressures and safeguard profitability. These trends show we are responsibly balancing near-term investments to maintain monthly food shops with our most loyal customers while leveraging promotions to add to the basket to drive UPT and get volume leverage through our world-class supply chain. We are strengthening the foundation from which our momentum will build as confidence and spending conviction improve within Canadian Pet over time. Let me share a few of our operational highlights from the quarter and year, which help support our continued resilience in making Pet Valu one of the strongest pockets of growth within Canadian Pet. Further increasing our competitive advantage as Canada's local and everywhere pet specialty retailer, we and our franchisees opened 14 new stores in the quarter, hitting our target of 40 stores in 2025. With 863 sites coast-to-coast, we have almost 4x as many locations as our nearest pet specialty peer, bringing us closer to our customers every day. We resold 8 corporate stores to franchisees in the quarter, showcasing ongoing strong interest in capacity from new and existing franchisees who form a core element of our continuing success. With over 2,200 inquiries last year, our teams are cultivating a robust pipeline of qualified applicants to whom we can sell stores to in the future. And in 2026, we will keep building on this strength by opening approximately 40 new stores across Canada, leveraging our strong balance sheet and deep real estate industry connections to find profitable new growth opportunities while other pet retailers may be retrenching. Momentum in our digital channel continued as we elevate and leverage our capabilities. In the wake of the success we saw in our limited time AutoShip offers for the fall, we thrilled customers with 20% off Click & Collect orders in December, driving a strong response and new customer acquisition. This offer really leaned into our strengths, providing us with a competitive edge online while driving traffic into our already convenience stores. We also successfully onboarded DoorDash and Uber Eats mid-quarter, expanding the reach of our ecosystem. Our third-party market share tracking shows that our online growth continues to outpace the channel, highlighting how our omnichannel model is meeting customers where and when they choose to buy in-store or online. We also advanced our focus to provide the best pet customer experience in Canada. With value at the forefront of consumers' minds, we delivered, leading with our proprietary brands. Following actions taken in the spring in our Performatrin Prime portfolio, we made targeted investments in Q4 across select SKUs in our Performatrin Ultra and Naturals brands to create compelling entry points for customers looking for high-quality alternatives at lower prices. By strengthening our proprietary brand portfolio, we are creating deeper customer loyalty, furthering our advantages in winning the monthly shop. Altogether, we are pleased with the performance in our proprietary brands, which increased roughly 200 basis points in unit penetration in 2025 with more progress to come in 2026. On the promotional front, we executed an exciting agenda with weekly deals, a stronger year-end Seniors' Day offer and the 20% off Click & Collect event mentioned earlier, all of which were supported by our 360-degree activation that helped keep us top of mind during the promotional holiday season. Loyalty sales penetration reached another all-time high of 88% in 2025 as our over 3 million active members responded to our expanded portfolio of brands eligible for our popular frequent buyer program. The data collected through our program provides a fantastic opportunity to deliver more personalized and meaningful value, and we're leaning into this more everyday testing breed-specific and cross-sell opportunities. And finally, we completed our initial rollout of our enhanced culinary experience in the quarter, bringing us to 120 corporate stores, along with an initial group of 13 franchise stores in 2025. Culinary continues to be one of our fastest-growing segments, and these stores are outperforming the company average in both culinary-specific and total sales. We are now beginning this rollout with our franchise network with roughly 40 projects planned in 2026. Turning to how we fortify strong wholesale and retail fundamentals. With the completion of our distribution network transformation, our supply chain teams have now fully shifted from implementation to optimization mode, focused on extracting further benefits from our investments. We continue to grow our wholesale penetration across our franchise network, in particular with our Chico franchisees, which helped sustain revenue growth ahead of system-wide sales again in the quarter. We believe there is still plenty of opportunity here and expect the gap between revenue and system-wide sales growth seen in the latter half of 2025 to be more indicative of what's to come over the medium term. For me, a particular bright spot in the quarter was the leverage we achieved in distribution costs, fueled by productivity and efficiency improvements. These are the benefits we envisioned at the outset of our supply chain transformation and are proving especially powerful in today's environment, enabling us to compete profitably against peers without this tailwind. We have increased our throughput by more than 60% from our pre-transformation baseline on a per labor hour basis, helping drive down variable costs while adapting to changes in an uneven demand environment. Our supply chain team is now turning their attention to opportunities in labor and transportation management processes to be implemented over the coming quarters and years, supporting a long tail of further productivity opportunities ahead. And finally, late in the quarter, we commenced initial steps towards the implementation of our new finance system, which will support our growing and evolving business alongside other systems investments we've made over the last several years. Linda will touch on this shortly. As we begin a new year, 2026 marks an incredible milestone for us, our 50th anniversary. That's half a century serving devoted pet lovers, half a century building Canada's leading omnichannel offering in Canadian pet and half a century of memorable moments. While we celebrate our accomplishments from the last 50 years, we look forward with tremendous excitement and anticipation for what the next 50 have in store for us, and that all starts with our plans for this year. To recap some of the highlights that I have provided above, we will continue to invest in our convenience through approximately 40 new stores and empower our online capabilities to meet or exceed customer expectations through our ever-improving omnichannel tools. We will continue to deliver everyday value through our high-quality proprietary brand products and new programs like our item of the month, while thrilling customers with exciting events like our participation in Tim Hortons iconic Roll Up to Win contest. We will continue to bring greater quality through innovation in both consumables and hardlines, delivering the breadth of products our devoted pet lovers expect to see. We will continue to evolve our in-store model with a phased rollout of our enhanced culinary experience within our franchise network and enrich our expertise through continued investment in our animal care experts. And we will continue to drive increasing productivity and benefits from our supply chain investments as our teams move fully from build to optimize, not only in our distribution centers, but also through further labor and transportation management investments. This will all support what we expect to be an exciting year, contributing towards solid revenue and profit growth. Before I pass the call to Linda, I'd like to note the restructuring charges we took at the end of 2025. Just as our environment has evolved over the last several years, so have the capabilities, plans and needs of our business as we chart our next chapter of growth. Together with Linda and our executive team, we carefully reflected on this and believe these actions will reposition resources and talent to both win in today's competitive marketplace and drive profitable growth over the long term. We're grateful for the work contributed by those that departed, and we are equally excited by the team and capabilities we're putting in place as we move forward. And with that, I'll pass it over to Linda to review our financials and 2026 outlook. Linda?
Linda Drysdale: Thank you, Greg. 2025 once again saw evolving macroeconomic factors keep consumer confidence and discretionary demand suppressed in the Canadian pet industry. Despite these market constraints, the flexibility of our business model, together with the actions Greg discussed, helped deliver resilient financial results, all while advancing strategic initiatives that build shareholder value over the long term. For the full year, we grew revenue over 5% on a 52-week comparable basis, maintained healthy adjusted EBITDA margins of 22% and returned a record $121 million in capital to shareholders through share buybacks and dividends. Turning to the fourth quarter. System-wide sales grew 9% to $424 million. Excluding the extra week this year, system-wide sales grew 2%, fueled by our network expansion as we opened 40 new stores over the last 12 months, bringing us to 863 sites to post by year-end. On a same-store basis, sales increased by 0.3%, driven by growth in average basket and in particular, UPT, which is a direct result from the impact of our targeted promotions and strong execution of our in-store ACEs. While we continue to drive growth in needs-based consumables, the pace eased on a dollar basis in the quarter in response to intentional actions taken throughout 2025 to provide everyday value to devoted pet lovers and drive unit growth as well as higher promotion intensity than last year. Performance in hardlines remained relatively consistent with recent trends. Q4 revenue grew 11% to $326 million. Excluding the extra week this year, revenue increased 3%, once again slightly outpacing system-wide sales, fueled by continued growth in wholesale penetration. As we had indicated last call, the gap between revenue and system-wide sales growth was similar to that seen in Q3, and we believe this to be indicative of what to expect in the coming quarters. Gross profit margin, excluding nonrecurring costs related to the supply chain transformation, declined 90 basis points versus Q4 last year. We drove leverage in our distribution costs as a result of our recently completed supply chain transformation, but this was more than offset by actions we took to provide value to both devoted pet lovers and our franchisees. While this created noise in the quarter, we are confident they are the right actions to help position Pet Valu for long-term growth. One of the many ways we are supporting these investments is through responsible and controlled management of our SG&A expenses. Excluding share-based compensation and costs not indicative of business performance, our SG&A expenses were $54 million or 16.5% of revenue, similar to last year. Leverage in our recurring people costs and lower professional fees helped offset expected inflation in technology SaaS fees. Q4 adjusted EBITDA was $75 million, representing 23% of revenue, a sequential improvement from the third quarter and roughly similar to Q4 last year. Net income was $29 million, similar to last year. Excluding share-based compensation and items not indicative of business performance, adjusted net income was $34 million or $0.49 per diluted share compared to $32 million or $0.45 per diluted share last year. Now turning to our balance sheet and cash flow. We ended the year with $186 million of available liquidity, consisting of $36 million in cash and $150 million under our revolver. Factoring in our growth together with debt repaid in the quarter, our leverage now sits at 2.2x, down from 2.4x at the end of Q3. Fourth quarter net capital expenditures were $8 million as we rounded out our planned culinary renovations, reached our new store target and completed other maintenance projects. For the year, net CapEx was $39 million, slightly below guidance due to strong proceeds from corporate resales in the fourth quarter. This year marked a strong step towards more normalized net capital intensity now that we have completed our supply chain transformation. As I'll discuss shortly, we plan to make further progress in 2026, driven by prudent capital allocation decisions to generate shareholder returns. And finally, we generated $37 million in free cash flow in the fourth quarter, bringing us to over $104 million in 2025. We are pleased to once again deliver free cash flow conversion on a trailing 4-quarter basis of 40%, consistent with our framework. We returned $18 million to shareholders through share buybacks and dividends in the quarter. In 2025, we returned a record $121 million to shareholders, almost twice what we returned in 2024, which is a testament to our commitment to delivering value back into the hands of our shareholders. Now to our outlook for 2026. As we shared back in the fall, industry growth in Canadian pet is likely to remain constrained in the near term without a meaningful improvement to the macroeconomic backdrop. This is how conditions unfolded through Q4 and so far into early 2026 and remains our base case assumption for the year, an approach we believe is pragmatic. That said, the results we delivered in 2025 showed how our unmatched retail and wholesale assets, together with our deep customer data and investments in everyday value position Pet Valu as the best investable pocket of growth in Canadian pet. Within this context, our 2026 outlook is anchored in our continued leverage of these strengths today, while reinforcing our points of difference to create further opportunity over the long term. Please note that we will return to a 52-week fiscal calendar in 2026 compared to 53 weeks in fiscal 2025. On a 52-week comparable basis, we expect to deliver the following in fiscal 2026. Revenue growth of between 2% and 4%, supported by approximately 40 new store openings, flat to 2% same-store sales growth and slight increased wholesale penetration. Flat to slight expansion of our adjusted EBITDA margin, supported by leverage in SG&A and supply chain costs while maintaining our competitiveness and compelling value offering, and adjusted net income per diluted share growth in the mid- to high single digits as we move past the prior headwinds from the step-up in fixed DC costs. And finally, with respect to our capital allocation priorities for 2026, we expect to reinvest approximately $35 million into our business, consisting of approximately $20 million in net capital expenditures related to growth and maintenance capital in our physical assets and approximately $15 million in transformation costs expensed through our income statement. These transformation costs mainly relate to implementation of our new finance system, which we expect to complete in 2027. In aggregate, the $35 million we have earmarked for reinvestment in capital and transformation in 2026 represents a significant reduction from the heightened levels over the last 4 years as we move past the supply chain transformation. In turn, we expect this to help drive continued strong free cash flow conversion at or above 40%. We plan to once again return the bulk of our free cash flow to shareholders through a combination of dividends and share buybacks. We are pleased to announce our Board approved an 8% increase to our quarterly dividend to $0.13 per share, marking 5 consecutive years of dividend growth. At the same time, we've already taken action on buybacks under our recently renewed NCIB and plan to continue to do so throughout the year in a balanced way. Before handing the call back to Greg, I want to reiterate our conviction in the long-term resilience and growth potential of the Canadian pet industry. With half a century serving devoted pet lovers, we've learned how to adapt and succeed in slower growth periods like today while knowing these periods are finite as our industry has shown us time and again. Through prudent fiscal management and continued strategic investment, we've never been better positioned for when that time comes. With that, I'll turn it back to Greg for some closing remarks.
Greg Ramier: Thanks, Linda. As we celebrate our 50th anniversary serving as a trusted partner and resource to millions of Canadian devoted pet lovers, I reflect back on what has made and continues to make Pet Valu so successful, our people. From our frontline ACEs and franchisees to our supply chain and field staff to our leaders in our corporate offices, each of us share a common desire, to help Canadians with the health and happiness of their pets. This forms the foundation for every decision and every investment we make. As we embark on the next 50 years building our growing legacy, we plan to remain true to that purpose. Thank you to all our people for all that you do. And with that, we'll be happy to take your questions.
Operator: [Operator Instructions] Your first question today will be from the line of Irene Nattel with RBC Capital.
Irene Nattel: I was wondering if we could just drill down into what's going on at the industry level. You say your share is up and yet you can all see that sort of the underlying performance is sort of -- we've got the headwinds in there. So what's happening to tonnage? What's happening in terms of channels? Are you losing share to other channels? And what's been the magnitude of price investment to date? And do you think you're where you need to be?
Greg Ramier: Irene, it's Greg. I'll take that one. And let me start with a few consistent elements that we saw throughout 2025. Devoted pet lovers continue to seek both quality and value in purchasing for their pets in the quarter. We once again saw solid growth in our most premium food tiers, culinary and premium dry kibble. And this underscored the enduring appeal of specialty brands and formulations only found in the pet specialty channel. At the same time, we saw the pursuit for value continued with customers leaning into our events and promotions, leveraging our frequent buyer program and showing increased interest in our proprietary brands. That said, I'd point out a couple of nuances in the quarter, Irene. First, we did see the level of value-seeking behavior intensify. Consumers took more of their dollars and shifted them into periods of events and promotions. And I will say we had a very strong commercial program in the quarter, including the highlights I called out in my prepared remarks around the year-end Seniors Day and the 20% off Click & Collect offer. But this was also amplified by a general uptick in promotional intensity across the industry, particularly from some of our pet specialty peers. And second, throughout 2025, you saw us sharpen our everyday value positioning in consumables, particularly with our proprietary brands. Devoted pet lovers are taking note. It's been central to our share gains, but it also applied increased pressure on our same-store sales growth on a year-over-year basis. And this all said, I want to reiterate some of the encouraging underlying trends we're seeing in the business that set us up well for 2026 and beyond. First, we continue to gain share, primarily from pet specialty peers as we win the monthly shop through a compelling consumables offering and value. Second, our customers are adding more items to their basket, a direct result of our commercial strategy and in-store execution. And third, we're seeing our proprietary brands lead our growth in consumables, which drives better stickiness as these products are only available through us.
Irene Nattel: And Greg, just as a follow-up, do you think -- with the investments that you made in pricing in 2025, do you think you're where you need to be? Or should we be expecting more investments in pricing in 2026?
Greg Ramier: Irene, we're very happy with where we are from a value and pricing perspective, led with our brands, but also just value and pricing on key national brands. And you'll remember that started with our Performatrin Prime investments at the end of March and then a number of other investments, especially in key national brands through the summer. So very happy with how we show up to the customer and that we're able to meet them where they want us to be right now.
Operator: The next question will be from the line of Martin Landry with Stifel.
Martin Landry: I would like to dig a little bit more into the assumptions underlying your guidance for same-store sales for '26 of flat to 2% growth. I mean, that is lower than most of the inflation forecast that people have for '26. So further to Irene's question, is the category expected to be deflationary this year? Are you expected to reinvest in pricing? What's the breakdown between traffic and basket for that flat to 2% same-store sales growth?
Greg Ramier: Martin, it's Greg. I'll -- let me provide a few high-level comments on 2026, and then I'll pass it over to Linda to go a bit deeper around some of the underlying elements. So when we think of the construct of the market heading into 2026, we're essentially expecting a similar environment to what we expected in 2025, which has proven to be the case year-to-date. Quality and value remain top of mind for devoted pet lovers. And given the persistent inflation in other areas of the household budget and ongoing uncertainty around economic growth and trade negotiations, we're expecting industry growth to remain tepid and the marketplace to remain competitive. In this context, we're entering the year with a strong understanding of what it takes to win in this environment and a solid track record from 2025 to back that up. We've got a strong set of plans and initiatives to support our continued growth. both in transactions and basket while delivering the benefits from our prior investments to deliver solid earnings. Maybe with that, I'll turn it over to Linda to talk about some of the deeper look at the assumptions.
Linda Drysdale: Yes. I would just add that when you look at our top line same-store sales and revenue growth guidance, really similar to what we delivered in 2025 on a 52-week comparable basis, built on the expectations that Greg just described. And depending on several factors, including the level of growth, we expect flat to slight expansion in adjusted EBITDA margin, supported by SG&A leverage and supply chain savings. Once you consider the leverage on depreciation and interest expense, now that we've moved past the step-up in fixed DC costs, all that points to solid earnings growth. And I'll just have to finish by saying that with a normalized reinvestment level, we expect our free cash flow conversion to once again meet or exceed 40%, the bulk of which we intend to return to shareholders through buybacks and dividends.
Martin Landry: Okay. And then just a follow-up maybe on the EPS growth of mid- to high single digits. Linda, what does that assume in terms of share buybacks?
Linda Drysdale: What I would say there is just we intend to, as I said in my prepared remarks, would return a significant portion of our free cash flow to shareholders through share buybacks as well as dividends.
Operator: The next question today will be from the line of Michael Van Aelst with TD Cowen.
Michael Van Aelst: I just want to go back to your Q3 conference call when at the time you were expecting same-store sales growth to be similar in Q4 than it was in Q3 and Q3 was 2.3%. So let's call it, maybe 2% that you were maybe 1/3 of the way through the quarter at that time, maybe a bit more. So can you talk about the cadence of the same-store sales growth as you went through the quarter? So how it progressed and what changed to make you fall short of that expectation over the final 11 -- or sorry, 8 weeks?
Greg Ramier: Thanks, Michael. It's Greg. In the quarter, we saw a few things. The -- if you think of Q4, there are a number of weeks and it builds through the end where both discretionary purchases and the -- and where consumers will be looking for value intensify. We saw both consumers being more value focused, both in picking promotions and then deciding to spend on discretionary through the latter half of the quarter. We also saw competition, especially in pet specialty, increase their efforts around promotions in the back half of the quarter. That was really how the quarter flowed.
Michael Van Aelst: So were you running at 2% to start the quarter and then it fell off or you're expecting a stronger finish to the year?
Greg Ramier: I'm not going to give you that -- the first part of that from a results perspective, Michael. But we did slow at the end of the year to land at 0.3% same-store sales growth. Still very happy with the units per transaction that we saw, which showed that the traffic that came through the door, we were very good at being able to build a basket around and we are happy with our market share growth through the quarter. It was a relatively tepid quarter for the whole industry.
Michael Van Aelst: Okay. Because I mean, if you were anywhere close to 2% in the first 5 weeks, then you would have been probably slightly negative to finish. So I'm not quite -- I'm just trying to figure out whether that -- whether you're starting off the year below like with negative same-store sales trends and having to work back into the 0% to 2%.
Greg Ramier: Michael, the way to think about Q1 so far is we're seeing a very similar environment with very similar results to what we saw in Q4.
Operator: The next question today will be from the line of Mark Petrie with CIBC.
Mark Petrie: I wanted to ask about the CapEx. And can you give us a gross number and then the implied refranchising activity that you have built into your guidance?
Linda Drysdale: Sorry, Michael, I just -- Mark, sorry, I just want to understand the question in terms of the CapEx.
Mark Petrie: Yes.
Linda Drysdale: Well, $20 million of net CapEx was what's in the guidance. And we -- as I shared in my prepared remarks, I just want to highlight that we are looking at that, and we think it's appropriate to look at that, including transformation costs as well as net CapEx together. So we expect to invest approximately $35 million into the business, consisting of $15 million in transformation costs, $20 million in CapEx. And so that $35 million is down significantly from the last several years following, as you know, the completion of our supply chain transformation. And so I just want to call it longer term, while there are some shifts between CapEx and transformation costs year-to-year, we believe the aggregate level of reinvestment this year is a good starting point for how to think about that over the next few years. And I'm going to pass it over to Greg to talk a bit more about the stores.
Greg Ramier: Thanks, Mark. Thanks, Linda. So Mark, from stores and a refranchising perspective, we had a very active resale program in Q4, and we had a relatively similar year-on-year resale program in 2025. You should expect something similar in 2026. For us, it's important to keep our franchise network in and around that 70% range. So you should see both a level of new store openings at 40 and that level of franchise penetration with an active resale helping support it through the year.
Mark Petrie: Okay. So the franchise -- I guess that was my follow-up. So the right way to think about corporate store or franchise penetration is the percentage, not the absolute number of stores. And we should expect new openings to continue to skew to corporate with some refranchising activity. Is that fair?
Greg Ramier: That's correct. Let me reiterate something as part of that question, though, please. So as you know, with our new stores, we have a best site first strategy, and we have the flexibility to lean into either corporate or franchise networks based on the location and making sure that we get the right real estate. What we've done in the last year and what I'd expect this year is we lean a little more heavily into corporate stores because of where we're looking to open. There still will be a mix between corporate and franchise in our openings. And we'll have a strong resale program like you saw in Q4 in order to make sure that we maintain that healthy balance. Ultimately, our franchise network will continue to be a critical part of our growth, both in new and resold. And we're happy with where we are right now on that.
Operator: The next question will be from the line of Vishal Shreedhar with National Bank of Canada.
Vishal Shreedhar: Just a clarification. Management for the guidance for 2026, you say we should look at it on a 52-week basis when we look at 2026 relative to '25. And you gave us the 2% adjusted figure, so we can multiply the lines by 0.98. But then you say EBITDA margin should be similar year-over-year. But is there any 52 week adjustment that we should apply to the EBITDA margin?
Linda Drysdale: No.
Greg Ramier: Not on the margin rates, Vishal.
Vishal Shreedhar: Okay. With respect to the transaction, the modest transaction pressure that you saw in the quarter, given that the pricing initiatives that Pet has been taking, should we anticipate the results of the pricing initiatives to have benefited in Q4? Or do you anticipate transactions to improve through the year? And yes, I'll pause there.
Greg Ramier: Thanks, Vishal. So we believe the transaction trends we saw in the quarter tie back to the promotional environment. And it was really key for us to win the right type of trips in this environment, so the monthly consumables focused trips, which are central to our DPL's habits and provide the best lifetime value. Our loyalty penetration hit another all-time high in the quarter of -- or sorry, in the year-end in the quarter of 88% and we have excellent visibility to this, and we're continuing to grow monthly shoppers. So we are happy with the types of shops that we won in Q4. What we did see from a basket and inflation perspective is, on one hand, you heard me call out the strong trends in -- that we're seeing in units per transaction, which is hitting multiyear highs, and that's a direct outcome, as Linda said, of the sharpened promotional plan around the basket and great in-store execution and draw attention to it. On the other hand, we saw deflation at a level similar to industry tied to our everyday value actions that we've taken through different segments of last year in our consumables portfolio, together with a higher promotional intensity in the quarter. We do expect to grow both transactions and basket through 2026. And you'll see us doing that leaning into the value investments we've already made using our proprietary brands and getting the most out of our promotional plans and loyalty program.
Operator: [Operator Instructions] And the next question today will be from the line of Chris Li with Desjardins.
Christopher Li: Maybe just first, a clarification question on market share. So based on your AIF, it shows that Pet's share continues to remain stable at around 18%. You said you're gaining share. Is the difference because the mass market is perhaps growing faster than specialty and therefore, on a total basis, your market share remains stable?
Greg Ramier: Thanks for the question, Chris. So we did see share gains. It still rounds to the same number without basis points. We were happy with the share gains we saw both in the year and in the quarter, though. And we're really seeing us win that with the monthly consumables-based shop from pet specialty retailers. Certain other online retailers also gained share. And we -- in our view and our reporting, we showed that coming from the mass retail or mass channel.
Christopher Li: Got it. Okay. That's helpful. And that was my follow-up. In the same chart, it shows Amazon gaining share. And I was wondering if you can elaborate a little bit on sort of what you're seeing on e-commerce. Obviously, you have a strong omnichannel platform. It seems to be performing better than what you're expecting. But just overall, just from an e-commerce shift perspective, is that something that for this year or in the coming years, you want to fortify so you're capturing your fair share of that market?
Greg Ramier: Thanks for the question, Chris. So we were very pleased with what we're seeing in our digital channel and then really excited about what it will do for this year. Our online sales continue to outpace our company average. We continue to gain share in the digital channel, growing at or above what the digital channel is growing. And really, what's even more important is the role these capabilities and the capabilities we've built play in our omnichannel offering. As we've shared in the past, that customer visits our store and websites 5x more than an online-only customer and spends 4x more. So not only are they more engaged, but they're the most valuable, least price-sensitive segment in our customer base. We were happy with how our auto ship offers helped win subscriptions in the quarter, and you're seeing us continue to do that through this year. We are also happy with the start-up of two more delivery platforms -- and that just -- all three of them now provide a nice way for our customers to be able to find us, and they're a good growth engine for us that you'll see through all of this year.
Operator: The next question will be from the line of Adrienne Yih, Barclays.
Michael Vu: This is Michael Vu on for Adrienne Yih. First, I know you've emphasized growth in your proprietary brands as a sales driver. Would you be able to remind us of the percentage of sales from your proprietary labels now? I know you mentioned it grew 200 basis points in 2025. And then secondly, how those offerings impacted your margins?
Greg Ramier: Thanks, Michael. It's Greg. So again, very happy with the growth in our proprietary brands, especially in consumables. The way to think about it is it's 1/4 of our sales to 25%. It is outpacing our unit and customer growth versus the rest of the store. And there is an approximately on average 1,200 basis points benefit in margin. Think of it as lower price for the consumer, better cost for us, therefore, equals better margin that we share jointly with us and our franchisees to make this a really profitable way to lean into growth.
Michael Vu: Awesome. That's great to hear. And then I guess as a follow-up to that, do you see further headroom to expand the penetration of the higher margin specifically for the private label products? And maybe even the in-store services. I haven't heard about that in a little bit. So anything from there that contribute to 2026 performance?
Greg Ramier: Michael, we do continue -- like I'm quite bullish on our proprietary brands, especially in consumables and winning the monthly shops through this year. So we will be lapping a number of the changes that we made as you go through the year. We're still seeing ongoing benefits from those everyday pricing actions and the store execution of them. We're also very focused in consumables on innovation within our Performatrin brands. So you are seeing us put more time and energy into that. The -- and remind me the second part of your question, Michael?
Michael Vu: It was about the in-store services. I know that you're rolling them out more into the stores, and you've talked about in the past, so I just want to touch on that?
Greg Ramier: Thank you. The very focused on dog wash is our primary service that we offer. We're still looking at potential other services, but there's nothing to talk or report about there at this point. Dog wash remains an important part of our offering to devoted pet lovers. It's a great way to interact with the customer in a nice service that differentiates us. It's in the vast majority of our stores now, and we've seen good uptake in it.
Operator: The next question will be from the line of Irene Nattel with RBC Capital.
Irene Nattel: I was just wondering if we could spend a minute talking about the discretionary piece of the business because in the past, it's been -- or at the time of the IPO, it was about 20%. Certainly, it's been under pressure. Can you talk about what you're seeing there? And also, I believe that you had some initiatives around refreshes or newness in the discretionary offering. Can you give us an update on that, please?
Greg Ramier: Absolutely. Thanks, Irene. So maybe start off with just how the category is performing versus consumables. So as Linda shared in her remarks, we continue to grow our consumable sales in the quarter and -- but that pace eased a bit versus relative quarters, both because of our everyday value actions and the higher promotional intensity. Hardlines, though, we continue to see softness here. We would have talked about discretionary spend or improvement pausing in Q3. That stayed paused in Q4. So we saw very comparable results to recent trends, no real change in the actual results. What we are focused on in it because we do believe that hardline categories play an important role in our offering and that they should really complement our strength in consumables in a much better way. But with the pullback we've seen in discretionary spending, that space has certainly become more competitive. So as you asked, there are some things that we're changing to be better positioned to win in this environment. We're continually introducing better value, especially in products where devoted pet lovers are looking for that the most. And that's led by our proprietary brands. We're also continually refreshing products to bring in innovation and instill a sense of newness. We're leaning into national brands to do that more and more. And even in this quarter, you're seeing us introduce a number of new things that we're quite excited about what they will do. And thirdly, we're sharpening the promotional program. So that would -- an example of that would be we just launched an item of the month program within hardlines. It's really consumables-based hardlines and giving our stores and customers another reason to add that extra item into the basket and have a program around that, that we execute really consistently. So the work is ongoing. We'll provide more updates as we move through the year, Irene.
Operator: With no further questions on the line at this time. I'd now like to leave the floor to Greg Ramier for any closing remarks.
Greg Ramier: Thanks, everybody. Looking forward to speaking to you in May. We're excited about the plans for this year. I'll bring you back to -- we are very focused on growing our proprietary brands, our reach with our store network and taking advantage of the everyday pricing investments that we've made last year to win both the monthly shop and build a basket in 2026. So thank you very much.
Operator: This concludes the Pet Valu Q4 2025 Earnings Call. Thank you all for joining. You may now disconnect.